Operator: Good day and thank you for standing by. Welcome to the Glacier Bancorp Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Randy Chesler, President and CEO of Glacier Bancorp. Please go ahead.
Randy Chesler: All right, thank you, Kevin, and good morning, and thank you for joining us today. With me here in Kalispell this morning is Ron Copher, our Chief Financial Officer; Don Chery, our Chief Administrative Officer; Angela Dose, our Chief Accounting Officer; Byron Pollan, our Treasurer; and Tom Dolan, our Chief Credit Administrator. I'd like to point out that the discussion today is subject to the same forward-looking considerations found on page 12 of our press release and we encourage you to review this section. We remain very optimistic about the long-term position of the company, despite the lingering headwinds impacting the banking industry today. The eight Western States in which we have a presence are among the strongest economies in the U.S. We have ample liquidity, a high quality loan portfolio, a proven banking model, and M&A expertise that is well positioned to take advantage of the market when conditions are right. Four of our eight Western States, Idaho, Montana, Arizona, and Utah were in the top 10 states for highest net in migration according to street.com's analysis of Census Bureau Data. All of our eight Western States were in the top half of the country for highest net in migration. And we are once again recognized by Forbes as one of the best banks in the U.S. Some business highlights for the quarter include: total deposits and retail purchase agreements of $21.3 billion at the quarter-end increased $25.5 million or 12 basis points during the current quarter. This momentum continues into the third quarter with deposits continuing to grow. Interest income of $247 million in the current quarter increased $15.5 million or 7%, over the prior quarter interest income of $232 million. Interest income in the current quarter increased $47.7 million or 27% -- 24% over the prior year second quarter. Net income was $55 million for the current quarter, I'm sorry, net income was $55 million for the current quarter, a decrease of $6.2 million or 10%, from the prior quarter net income of $61.2 million. Total non-interest expense of $131 million for the current quarter, decreased $4.4 million or 3%, over the prior quarter and increased $1.1 million or 1%, over the prior year second quarter. Non-interest income for the current quarter totaled $29.1 million, which was an increase of $1.2 million or 4% over the prior quarter, which was primarily driven by an increase in service charges and the gain on sale of residential loans. The loan portfolio of $15.9 billion increased $436 million or 11% annualized, during the current quarter. The loan yield for the current quarter was 5.12%, that increased 10 basis points, compared to the prior quarter, increased 60 basis points from the prior year second quarter. New loan production yields for the quarter were 7.37%, up 41 basis points from the last quarter. And credit quality continued to perform at near-record levels. Non-performing assets as a percentage of subsidiary assets, was 12 basis points in the current and prior quarter, compared to 16 basis points in the prior year second quarter. Net charge-offs, as a percentage of total loans were 3 basis points. We completely paid off $335 million of higher cost borrowings at the Federal Home Loan Bank, stockholder equity of $2.927 billion, increased $83.2 million or 3%, during the first six months of the current year. Tangible book value per common share of $17.16 at the current quarter end, increased 2 basis points from the prior quarter. The company's liquidity position remains strong, with solid core deposits, customer relationships, excess cash, debt securities and access to diversified borrowing sources. The company's available liquidity of over $15 billion, including cash borrowing capacity from the Federal Home Loan Bank and Federal Reserve facilities, unpledged securities, brokered deposits and other sources. The company declared a $0.33 per share dividend in the quarter, and the company has declared a 153 consecutive quarterly dividends and has increased the dividend 49 times. So we're very pleased to see the growth in deposits and repurchase agreements this quarter. Our 17 Bank divisions, clearly demonstrated the effectiveness of our unique business model, by leveraging their local customer relationships to grow deposits. Our focus has been primarily to maintain and grow deposits, with existing business and retail customers by offering attractive rate options. Most of this outreach was done strategically by leveraging the technology of our marketing platform. We also kept our focus on opening new core relationship accounts, totaling a net add for the quarter of over 4,000 net new retail and business accounts with over $260 million in new deposits. And we have continued to reinforce the importance of asking for a strong deposit relationship with all commercial and residential loans. More than 80% of the loan customers in the quarter maintain deposits with us. The Federal Reserve's historic rate increases have changed the deposit mindset for many customers, our through the cycle beta at the end of the quarter, for core deposits was 10%. And while the beta will continue to increase until the Fed stops raising rates, we still expect to significantly outperform the industry beta. Our NIM continued to show signs of pressure from the increasing cost of deposits and funding, and we expect the rate of decline in the net interest margin to moderate going forward, given the forecast for interest rates and the resulting impact on deposits. In addition, our higher loan yields on new production and renewing loans, will continue to generate interest income growth. Once again, loan growth was strong across all of our divisions. Most of the commercial loan growth in the quarter was due to construction draws on previously approved loans. A majority of the construction projects are residential, housing related, either multifamily or new residential. And we are very confident in the ongoing viability of the underlying projects, the borrower’s ability to meet the loan requirements, and the vibrant markets in which they are located. Our capital levels are strong and growing with an estimated CET1 increasing, 13 basis points from the prior quarter to 12.47%. We believe this level of capital is more than a 100 basis points greater than the average of the 21 peer banks listed in our proxy. We remain confident in the dynamic Western markets we serve, and our unique business model to continue to deliver strong results. Thank you to the Glacier team for delivering another strong performance this quarter. So, Kevin, that ends my formal remarks and I would now like you to open the line for any questions that our analysts may have.
Operator: [Operator Instructions] Our first question comes from Jeff Rulis with D.A. Davidson. Your line is open.
Jeff Rulis: Thanks, good morning.
Randy Chesler: Good morning, Jeff.
Jeff Rulis: Just a question, I guess first I wanted to ask about the -- timing of when FHLB advances were paid off, throughout the quarter, looks like the average rated 533, you've got about a -- you're trading nearly a 100 basis points cheaper on the BTFP. But trying to get a sense for when that was pushed off the balance sheet?
Randy Chesler: For sure, well we were happy to pay that down and Byron watched that carefully. Byron, do you want to provide the timing for that pay down?
Byron Pollan: Yes, I want to say, Jeff that was in June. So that was the timing of the FHLB payment.
Jeff Rulis: Got it. Okay, so presumably you haven't seen a full quarter of that trade, and I guess that would be baked into, Randy your commentary about margin continuing to be pressured but-- at a declining rate, is that fair?
Randy Chesler: That's fair. That's fair. That's correct.
Jeff Rulis: Okay. What was the spot rate interest bearing deposit costs at quarter end, and how does that compare to is to the end of March?
Byron Pollan: Yes, Jeff, this is Byron. The spot rate at the end of June for interest-bearing deposits, that was 1.27%. Looking back at March -- March 31 spot rate for interest-bearing deposits was 70 basis points. So, 57 basis point increase March 31 to June 30.
Jeff Rulis: Got it, okay. And maybe if I can hop to the expense line, we clearly pulled a lever there to offset some of the top line pressure. Wanted to see if there's anything, kind of, one-time in that [$130 and change million] (ph) level? And maybe just expectations for the back half of the -- did we grow off that base or any commentary on costs.
Ron Copher: Yes. Hi, Jeff, this is Ron. Appreciate the question. Nothing really, one-time in that $130.6 million and I just want to shout out to the divisions the corporate departments is doing a great job very mindful of hiring. And we had a reduction in our FTE between Q1 and Q2 of 20. But more importantly over the year, we had a reduction of 70 year-over-year in the FTE. So appreciate their focus on that. The guide is, I'm going to take us -- from to $132 million to $134 million for Q3, simple reason there is persistent inflationary cost pressures. Even though I think we do a very good job managing the vendors. We're still seeing pressure that, I think will show up, certainly in the third quarter and probably continuing into the fourth. So pretty confident in that.
Jeff Rulis: Ron, just to clarify that was $132 million to $134 million range for Q3?
Ron Copher: Correct.
Jeff Rulis: Okay. And presumably within that ballpark in Q4?
Ron Copher: Yes, right now.
Jeff Rulis: Okay, okay, fair enough. And maybe just a last one from me on the beta. Randy, you mentioned that, I guess any update to both the, kind of, terminal beta expectation on total beta or interest bearing beta or both?
Randy Chesler: Yes, I think we've spent a lot of time looking at that, because of some of the changes in the Fed, and there's been a lot of activity there. So, Byron, maybe you can walk Jeff through the current thinking on that.
Byron Pollan: Sure. Yes, Jeff, last quarter when we reiterated the 15% through the cycle beta on total deposits, we noted at the time it was a good estimate, but really dependent on what the Fed does. If you go back to where we were in April, the market was looking for Fed cuts in the back half of the year, and now we're looking for one maybe two more hikes in the back half of 2023. So if you look at market expectations for year-end Fed funds is now a 100 basis points higher today than it was in April. So clearly that has had an impact on our deposit pricing outlook. So, given the rate environment, we do need to adjust our deposit beta assumption. We are now using a 25% as our through the beta -- through the cycle beta, for total deposit costs.
Jeff Rulis: Okay, got it. Thank you. I'll step back.
Operator: [Operator Instructions] Next question comes from Matthew Clark with Piper Sandler. Your line is open.
Matthew Clark: Hey, good morning and thanks for the questions.
Randy Chesler: Good morning.
Matthew Clark: Maybe just a little more on the NIM. Do you happen to have the average NIM in the month of June?
Randy Chesler: Let me take a look. So for June we can give you that, Matthew.
Byron Pollan: Month of June, the NIM was [$267 million] (ph).
Matthew Clark: Okay, thank you. And then just on expenses, I think in prior quarters, you talked about doing a lot more with less and the need for having a lot of open vacancies on, in terms of your workforce I guess has something changed, I know the environment obviously changed a little bit, but can you just maybe update us on your thoughts on kind of the resources you have internally and whether that's still the case whether not you need more?
Randy Chesler: Yes. And Ron may have a little extra color. So yes, we are still seeing some of that dynamic play out. So in the first quarter certainly, we had less hiring than expected. And every quarter now, we do a bit of a bottoms-up approach, where we go back out and see if the open positions are needed. So some of what's going on, is some of the new technology that we've talked about. So a new commercial loan origination processing system, a new account opening platform, new construction management platform, have all -- people are getting used to that, and I think as they begin to see some of the efficiencies -- we're starting to see that. So we saw a pretty good size adjustment in the first quarter. Ron, do you want to comment on what we're seeing now?
Ron Copher: Yes, it just continues to see -- just expand a little bit further on what Randy was saying, so the pilot divisions had great success. That's the beauty of our model. We don't have to force it down, all 17 divisions and so, it's really accelerated as people are seeing the benefits and they're not staffing to the old model, they're staffing to the technology improvements.
Matthew Clark: Okay, great. And then last one for me, kind of a two part question. Can you give us a sense for criticized classified trends in 2Q versus 1Q. I didn't see anything in the release. And then any update on office CRE. I think it's about 10% of your book and whether or not, you guys have done a deep dive and kind of what you're seeing there as well?
Randy Chesler: Yes, criticized classified we've never really talked, disclosed that just because there's a lot of subjectivity, Tom can give you a little color, though, I think it's very positive. And certainly commercial real estate office. we can give you maybe step back and give you the context that we look at when we think about that and where we feel that's going, and obviously, we feel good about it, given kind of our markets and how we're positioned. But, Tom, you want to comment on that?
Tom Dolan: Matthew on the criticized classifieds what I'll say is it's continuing to trend in a positive direction. So we continue to see migration towards the less risk side of the loan portfolio, which we're certainly happy to see that, we're currently near record lows, just like we see on the NPA side. And then on the office. Obviously, our portfolio in the office book really matches the footprint. Office located in a lot boots and jeans communities just like that where our divisions are located. So, compared to some other portfolios and certainly a lot of the press around the office real estate, that's doesn't really match our portfolio, the average loan size is $680,000 it's split about 50-50 owner and non-owner, and in terms of performance, especially on the adverse, non-performing side, it's outperforming the rest of the portfolio. So it's really a different office segment to what we're seeing pressure in, in the markets very limited exposure to metropolitan areas and almost zero exposure to central business districts, no high rises. There's not a single office loan in the portfolio above $20 million. So it's really a collection of small single-story, kind of, split between owner and non-owner office.
Matthew Clark: Okay. Thanks again.
Operator: [Operator Instructions] Our next question comes from David Feaster with Raymond James, your line is open.
David Feaster: Hey, good morning everybody.
Randy Chesler: Good morning, David.
David Feaster: Maybe just going back to the funding side, I'd be curious if you could elaborate maybe on some of the trends you saw throughout the quarter, just kind of looking at the numbers, it looks like the majority of the NIB outflows happened maybe a bit earlier in the quarter. Just curious how flows were on NIB balances throughout the quarter. Whether they stabilize -- some of the key drivers of that was the taxes, was it more outflows from the failures? And whether you've seen kind of NIB balances stabilized early into the 3Q and late in the quarter end and early 3Q? And just ultimately kind of whether that plays into the stabilization in deposit cost as well.
Randy Chesler: Yes, so let me take a shot at some of that and then Byron will probably have some more comments there. We did see the outflow decelerate throughout the quarter. And so anyhow lot of things happening here with tax payments and some other things going on. 60% -- over 60% of those balances stay with us. So even though they leave one category, they move to another. So we're retaining those within the company, but there is -- given what's going on with the Federal Reserve and now the cautiousness around rates, that's obviously changed a fair amount of that dynamic. Around 80% of those are tied to operating accounts, and so there -- we're actually starting to see, you know, as the tourist season kicks in some of those accounts, then start to replenish. So kind of feel like the biggest move there has occurred, and we'll probably still see some continued outflow, but just not at the same rate that we did in this quarter. Byron, did you want to cover anything there or add anything?
Byron Pollan: Yes, David, you're exactly right. Non-interest-bearing outflow has happened early in the quarter. And by the time we got to June, we did see some outflow, but very, very modest. I'm looking at the non-interest bearing outflows in June was only $31 million. And that has carried forward into July, looking at just a tiny bit of outflow, but very, very modest. So did see some strong trends throughout the quarter in terms of stabilizing deposit balances. And really encouraging signs that our strong, seasonal summer time dynamics are gaining traction here as well. So I think that's having a big impact on our outlook for third quarter deposit.
David Feaster: And did deposit costs, kind of, have a similar trajectory again, mostly front-end weighted and kind of a stabilization in May to June. Is that a fair characterization?
Byron Pollan: I do think deposit cost. Probably, the increase in deposit costs was closer to the back half of the quarter than the front half of the quarter, related to some -- special pricing that we had and other initiatives that we had in place.
David Feaster: Okay. And then maybe just touching on the deposit growth side, I mean, it's great to hear you talk about 4,000 new accounts growing. I'm just curious where you're seeing success attracting clients, obviously you talked about some of the seasonality, but just curious maybe some of the deposit growth initiatives that you have in place to drive core deposits, and ultimately, kind of, how that plays into the deposit growth going forward. And when we can start paying down some of the borrowings in those higher cost wholesale deposits? When do you think you can start doing that because that ultimately plays kind of the NIM trajectory going forward?
Randy Chesler: Yes, let me take the first part of that and then Byron if you want to take the thoughts around the pay down. Couple of things, David. Number one, we're very happy that the bulk of this is -- bulk of the growth is existing customers. And so, we've always had very good relationships, we had a decade of being very passive about look -- reaching for deposits. That's all changed. And so, the team has really done an excellent job leveraging what we already have, which is the relationship with the customer to pull that in. We include repos as part of when we include deposits, we just view that very much as a secured deposit. And so, when you look at total deposits from our perspective, deposits and repurchase agreements, we were up. And we did use a fair amount of technology with our marketing platform, that really allows us to target within the portfolio of the customers that we think are good candidates to make an offer to, in terms of increased rate. And being careful not to cannibalize a very, very solid foundation and stable sticky deposits. The core -- the new accounts. I mean that's something we've done for decades, it's our continual focus on bringing new accounts into the bank with a very attractive low barrier product, for both business and retail, free. It works very well and with the in-migration numbers that I kind of touched on at the beginning, we're still now at a lesser rate, but we're still opening a lot of new accounts from people from California, Texas and other markets, that's part of that 4,000 new net new accounts, we opened. And we are -- have an increased emphasis now on bringing deposits with those new accounts, that's the $262 million in new deposits. Last thing I'll say, and I'll hand it over to Byron to, kind of, touch on the thoughts around the pay -- paying down the debt is the lending team has done an excellent job with all that -- with every commercial loan and residential loan, really asking for the deposit relationship, along with that. So when we took a look this quarter more than 80% of loans made, we had a deposit relationship with the customer. So that's really the, kind of, a three-pronged strategy, that will continue to pursue that's worked very well for us, and we feel like that strategy will be continued to be very, very effective. Byron, you want to touch on the pay down thoughts?
Byron Pollan: Sure. Yes, David, I do think that we're going to have an opportunity this quarter to chip away at our wholesale brokered deposit balances. We've, of course already paid off our FHLB borrowings. So made as much progress there as we can. But to the extent that we're able to see some of these early signs in July, the seasonal trends, and the good flows that we've seen so far month-to-date in July. If those were able to stick and continue through the rest of the summer, as we expect they will, that will give us some flexibility to pay down some of our of our brokered CD balances.
David Feaster: Okay. That's helpful. And then maybe last one from me, just touching on the growth side, it sounds like the majority of the CRE growth was construction and you guys had, kind of, alluded to that before. I'm just curious maybe, the pulse of your clients at this point. How is demand exclusive of those construction fundings in the pipeline, and where a new loan yields and just what's your thoughts on growth going forward and your appetite for credit?
Tom Dolan: Yes, this is Tom. I can touch on that. So, overall demand, certainly, we're not seeing the same level of topline volume given the higher rates and the fact that we're more selective in our credit appetite. I mean, we've always been selective for decades and very conservative, probably more so, even now. So, as Randy mentioned, a lot of the growth in the first quarter and the second quarter was due to draws on existing construction loans. I would expect it to decelerate in the next couple of quarters, we'll probably see a little bit of slowing in Q3, further slowing in Q4 as tailwinds from those construction draws start to abate, and those projects are finished there rolled into the firm. And then of course, as I mentioned with the lower top end volume will probably-- see overall net loan growth start slow in the may half of this year and certainly in coming quarter.
David Feaster: That's helpful. Thank you.
Operator: [Operator Instructions] Our next question comes from Andrew Terrell, Stephens. Your line is open.
Andrew Terrell: Hey, good morning.
Randy Chesler: Good morning, Andrew.
Andrew Terrell: Maybe just for Byron really quick. Do you have the spot cost on the customer repurchase agreements at the end of June this quarter?
Byron Pollan: Yes. Spot cost for repo accounts at June 30 was $299.
Andrew Terrell: Okay. And then just trying to wade through the last of the margin here. Here you the level of compression sequentially should slow from here, I guess, would you still anticipate margin compression in the third quarter versus the June margin of $267 million?
Byron Pollan: From what we look, it's going to be pretty close. I think it's going to be pretty close to $267 million, that June number should -- from what we're looking at on the full quarter expectation for the third quarter, should be pretty close to that same level.
Andrew Terrell: Okay, got it. And then just, I think you guys mentioned $230 million of new client deposit growth earlier in the call. Can you just talk about what the incremental funding or deposit cost is related to that $230 million or just more broadly, how the incremental deposit cost compares to new loan production yields that I think are in the low-7s?
Byron Pollan: A lot of the -- a portion of the growth as you can tell from our balance sheet is coming from our CD portfolio, and I want to say the average rate of our new issue CDs in the second quarter was between -- something close to like $470 million, $475 million is what I want to say that the new rate was.
Andrew Terrell: Okay.
Randy Chesler: And the other thing I’d say is a good portion of those balances are just in the transaction accounts. So now, savings and the spot rates on those are under 50 basis, under 50 basis points.
Andrew Terrell: Got it. Understood. And maybe for Ron, on the operating expense line this quarter, specifically the comp and employee benefits. Was there any material change in the deferred origination costs this quarter that might have helped bring that expense -- the comp line down?
Ron Copher: No.
Andrew Terrell: And if so can you quantify?
Ron Copher: It, a very, very little impact from that because we grew loans in the first quarter and the second, there wasn't any appreciable difference in that growth rate that would have an impact to any degree on the deferred compensation side of it.
Andrew Terrell: Understood. And then maybe one last one from me if I could sneak it in just, it looks like the dividend payout ratio was, kind of, approaching 70% this quarter, and it sounds like, there will be a little more margin compression. Just maybe wanted to get a sense for the comfortability with the dividend or is that today.
Randy Chesler: Yes, I think we're very comfortable with it. We've got very strong capital, it's an important part of the strategy. We think the margin compression over the longer term is a shorter term problem, that will right itself in '24. So we're very comfortable at the those levels.
Andrew Terrell: Okay. Thanks for taking the questions.
Operator: [Operator Instructions] Our next question comes from Brandon King with Truist. Your line is open.
Brandon King: Hey, good morning.
Randy Chesler: Good morning, Brandon.
Brandon King: So all the NIM commentary is helpful, but from an NII prospective and with this of maybe one or two more Fed rate hikes in back half of this year. When do you think NII could stabilize going forward and also maybe assuming next year Fed funds are stable?
Ron Copher: Yes, one of the things that I would point you to is the Fed. I think once it becomes clear that the Fed has done that's when you'll see our margin and NII stabilize. So, I think it's really dependent on how far they go, is it one more hike, is it two? How long do they -- is it an extended pause, higher for longer, these are all considerations that are going to have an impact on our margin in the half.
Brandon King: And do you think there is a quarter or two lag, after a pause to re-stabilization, or do you think it will be pretty immediate?
Ron Copher: We could see a little lag is there could be a quarter's worth of lag in that, both before we start to see stabilization. So I think that's fair way to think about it.
Brandon King: Okay, and then we've loan repricing average loan yields were up 10 basis points sequentially, and I know you have a lot of fixed rate and adjustable rate repricing coming online, but is that a good, kind of, 10 basis points for the quarter? Do you think is that a good trajectory as far as what you can see from a benefit from a loan yield repricing?
Ron Copher: Yes. Brandon it's Ron, I think we'll do better than the 10 basis points, weighed on that this quarter was the construction draws, we're getting higher rates, but some of those loans were made first, second quarter last year. And so, there is still advancing. But yes, I expect better than 10 basis points.
Brandon King: Okay. And then just lastly, there was a decent uptick in service charges. I wonder if there's anything one-time in nature, driving that just more context around it?
Randy Chesler: No, that's a function of usage and seasonality. So no that's typically what we see in this -- starting in the second quarter. Little bit of a pickup.
Brandon King: And that's a good base to golf going forward. Correct?
Randy Chesler: I think so, yes.
Brandon King: Okay, that's all. Thanks for taking my questions.
Randy Chesler: You bet.
Operator: [Operator Instructions] Our next question comes from Kelly Motta with KBW. Your line is open.
Kelly Motta: Hi, good morning. Thanks so much for the questions. I apologize about beating a dead horse about deposits and margin. But if I could, I'm going to do it would it kind of, I appreciate all the color Ron about and Byron about the deposit betas. But when it comes to your commentary about deposit betas, I'm just wondering what that assumes as far as DDAs as a percentage of total deposits, obviously there's been a lot of focus on that lately with run-offs across the industry?
Byron Pollan: Yes, I think we will continue to see a little bit of run-off in the non-interest bearing, as we said that pace is going to, we think materially slow, but I think we'll maintain at concentration greater than 30% of non-interest bearing total deposits.
Kelly Motta: Got it. Thanks for that. And then again I really appreciate the June margin at about $267 million and the commentary around kind of the outlook there. Just trying to get a sense, is that kind of assuming we get one or two more rate hikes. Is that a good estimate of where merchant troughs, based on kind of just putting together everything, or is there still more pressure off of that $267 million to go. I know there's a lot of moving parts of the FHLB pay down that happened during the month. I'm not sure if it is fully reflected in that $267 million.
Byron Pollan: Yes, in terms of our, the rate outlook that we're using to model and make some estimates around forward-looking margin. We do have two more hikes in there. And so, I think the third quarter will be influenced by one more hike. The fourth quarter will be influenced by potentially a second hike. And that's just an estimate that we're using in our model.
Kelly Motta: Okay. So under that would you anticipate additional pressure and kind of where we are assuming that, that's the trajectory that rates follow. Do you have an idea of the level and the timing of when merchant would trough?
Byron Pollan: That does put additional pressure on our fourth quarter margin relative to the third quarter. We're at trough, would probably be first or second quarter of next year, assuming that two hikes and they're done.
Kelly Motta: Got it. And then, so that seems to imply that there could be some relief thereafter should the Fed be done, the kind of rounding out the margin question for me there. Do you have a sense of where margin could exit 2024 then under that sort of set of assumptions given what you're seeing on the funding side, as well as the repricing of your own [hires] (ph)?
Byron Pollan: Yes, sorry. We haven't looked at far out, but we'll have to dig into that and get back to you on that expectation.
Kelly Motta: Got it, got it. And I guess finally last one for me, I know you mentioned the brokered funding that you put on during the quarter, and mentioned that there might be some opportunity to pay some of that down this upcoming quarter, depending on if you get the seasonal inflows. Can you just kind of remind us the cadence of when that brokered funding matures? And how we should expect either I guess the roll-off of that as we get through the next year or two.
Byron Pollan: Yes, most of that will mature within the quarter. Most of the issuance with one, two, three months, when it was done. We did dabble a little bit of six month maturities, but I would say the lion's share of the $475 million will mature within the third quarter, you can give us an opportunity to evaluate it, do we roll it or do we allow some run-off to happen, based on where we are at that point in the quarter with core deposit growth. I think, I think the core deposit flows will determine how much we let on.
Kelly Motta: All right, thank you so much for the questions. I'll step back.
Randy Chesler: You’re welcome.
Operator: [Operator Instructions] Our next question comes from Tim Coffey with Janney Montgomery Scott. Your line is open.
Tim Coffey: Thank you, good morning everybody.
Randy Chesler: Good morning, Tim.
Tim Coffey: Good morning, Randy, I had a question about kind of asset levels. By the end of this year, if we look back at total assets on a year-over-year basis, would it -- is it more likely to be flat to slightly up, or flat to slightly down?
Randy Chesler: Total assets?
Tim Coffey: Yes, just the size of the balance sheet.
Randy Chesler: Yes, it should be slightly up, given our loan growth and expectations on deposits.
Tim Coffey: Okay. And then, can you remind me again what the cash flow is, coming off the securities portfolio?
Randy Chesler: Yes. Interest and principle right now is about $300 million a quarter.
Tim Coffey: Okay, so no big change from the previous quarter.
Randy Chesler: No.
Tim Coffey: And then on the construction loans that you're doing, lot of housing stuff in there, is there any read through to your mortgage origination and sale business line?
Randy Chesler: Is there any, what was the question, Tim?
Tim Coffey: Is there any readthrough to the mortgage business?
Randy Chesler: Do you mean a connection between the construction loan and then ultimate residential mortgage?
Tim Coffey: Yes, there's more supply on market, are you seeing more volume in the mortgage business?
Randy Chesler: So, yes, we were up this quarter. So you saw the gain on mortgages increase. So, we have more locks this quarter than the prior quarter. We're happy to see that. You know, that is leveling off, and it's really supply driven, there's just not enough housing -- that new construction is a big part of what we see people moving into now, there's just not a lot of resale of existing homes, because the people are hanging onto their low fixed rate that they have. So, that's what we see happening now. So our expectation on that gain is probably going to stay right in that range, maybe a little a little softness to it depending on the supply.
Tim Coffey: Okay, great. Those are my questions. Thank you very much for your time.
Randy Chesler: Sure.
Operator: And I'm not showing any further questions at this time, I'd like to turn the call back over to Randy for any closing remarks.
Randy Chesler: All right, thank you, Kevin. And just want to thank everybody for dialing in today. Lot going on in the industry. So I appreciate you taking the time and have a great Friday and a great weekend. Thank you.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.